Operator: Good day and welcome to Energy Recovery's Third Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Chris Gannon, CFO. Please go ahead, sir.
Chris Gannon: Thank you. Good afternoon, everyone, and welcome to Energy Recovery's earnings conference call for the third quarter of 2015. My name is Chris Gannon, Chief Financial Officer of Energy Recovery. And I'm here today with our President and Chief Executive Officer, Mr. Joel Gay. To begin, some of our comments and responses to questions may contain forward-looking statements about market trends, future revenue, growth expectations, cost structure, gross profit margins, new products, and business strategy. Such forward-looking statements are based on current expectations about future events and are subject to the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act. Forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, and other factors that could cause actual results to differ materially from those discussed. A detailed discussion of these factors and uncertainties is contained in the reports that the company files with the U.S. Securities and Exchange Commission. The company assumes no obligation to update any forward-looking statements made during this call except as required by law. Now, turning to the financials. I will begin with a brief analysis of our financial results on a consolidated basis. I will then turn to a segmented examination of our financial results to provide further transparency and clarity to our business. As such, I will discuss our three segments namely water, oil and gas, and corporate. First, however, as I walk through the third quarter financial review, I want to emphasize the overarching themes I will discuss, namely, revenues continue to strengthen as the water desalinization market rebounds, and operating expenses are now in line with our guidance of $7 million to $7.5 million per quarter, as austerity measures are fully reflected in our numbers. Now turning to the financial review. On a consolidated basis the company generated strong revenue of $12.1 million representing an 127% increase over the third quarter of 2014, and 15.5% increase sequentially, which is to say as compared to the second quarter of 2015. The increase in revenue year-over-year was primarily driven by a shift in sales channel mix towards mega projects. In addition, OEM and aftermarket outperformed during this period as well. The increase sequentially was primarily driven by a shift towards OEM and aftermarket revenue. In addition, mega project revenue remained strong, yet flat quarter-over-quarter. Product mix for the third quarter was 68% and 32% for PXes and pumps and turbos respectively. This represents a 2,400 basis point favorable shift towards PXes away from both pumps and turbos and oil and gas. As the prior period quarter included rental income from the least of an IsoGen System with Saudi Aramco. Sequentially this represented a 250 basis point unfavorable shift towards pumps and turbos away from PXes, as our OEM channel demand shifted to more pumps and turbo products. As a result of increased revenues, and a shift in channel and product mix, gross margins increased by 1,500 basis points to 59.1% from 43.7% in the third quarter of 2014. Sequentially margins increased by 520 basis points from 53.9% in the second quarter of 2015, mainly due to increases in aftermarket shipments. Now turning to operating expenses. Reporting operating expenses were $7.4 million representing a decline of $360,000 from the third quarter of 2014. The year-over-year decrease reflects our austerity measures implemented early this year. Sequentially, OpEx decreased by $1.5 million from $8.9 million in the second quarter of 2015. The sequential decrease in OpEx reflects non-recurring expenses of $2.7 million in the second quarter, primarily related to CEO transition and various legal matters, partially offset by increased R&D spending and management reconstitution. It is important to know that our third quarter of 2015 OpEx is in line with our previous run rate guidance of $7 million to $7.5 million per quarter. Our operating expenses now fully reflect the austerity measures implemented at the beginning of the year. In summary, on increased revenues, favorable mix, and lower OpEx, the company generated a net loss of $340,000 or $0.01 per share. Comparatively the company reported a net loss of $5.5 million or $0.11 per share in the third quarter of 2014. Again, our reported performance that benefited from austerity measures initiated earlier this year. Now turning to the segment analysis. I will begin with commentary on the water business. This segment generated revenue of $12.1 million in the current quarter representing 135% increase over the third quarter of 2014, and 15.5% increase sequentially over the second quarter of 2015. The increase in revenue year-over-year was primarily driven by a shift in sales channel mix towards mega projects. However the OEM and aftermarket sales channels outperformed as well. The increase sequentially was primarily driven by a shift towards OEM and aftermarket revenue as mega project revenue remained strong and flat quarter-over-quarter. As a result of increased revenue and a shift in channel and product mix, gross margins increased by 1,700 basis points to 59.1% from 41.6% in the third quarter of 2014. Sequentially, margins increased by 520 basis points from 53.9% in the second quarter of 2015, mainly due to a shift in sales channel mix associated with an increase in aftermarket shipments. Operating expenses were $1.7 million for the quarter. These expenses were flat year-over-year as compared to the third quarter of 2014, but increased sequentially by $500,000 as compared to the second quarter of 2015. This increase was chiefly attributable to increased engineering expenses and a second quarter litigation settlement below the accrued amount negatively impacting G&A. In summary, on increased revenues, favorable mix, and decreased OpEx, the water segment contributed $5.4 million in operating income for the quarter or 45% of revenue. Comparatively, the water segment generated $4.4 million in operating income or 42% of revenue for the second quarter of 2015. On a year-to-date basis, the water segment generated $10.8 million in operating income or 38% of revenue. Now, I will transition to the oil and gas segment, which consists of gas processing, chemical processing, and hydraulic fracturing. This segment generated no revenue during the quarter. However, year-over-year revenues decreased as the prior year quarter included rental income from an operating lease of our IsoGen unit with Saudi Aramco. In the second quarter of 2015, Saudi Aramco exercised the purchase option on the aforementioned lease. Oil and gas segment OpEx reflects our investments to develop disruptive technologies for emerging markets and verticals. Our sales and marketing expenditures relate to the penetration of the gas processing, ammonia, and pipeline markets. Conversely, R&D expenses primarily relate to the continued development in commercialization of our hydraulic fracturing solution for VorTeq which was recently licensed to Schlumberger for a 15-year exclusive period. Operating expenses totaled $2.5 million for the quarter, down sequentially by $100,000 as compared to the second quarter of 2015. Year-over-year, OpEx declined by $850,000 as compared to the third quarter of 2014. On a year-to-date basis, the oil and gas segment, operating expenses totaled $8.8 million. Now transitioning to corporate OpEx. The company incurred $3.2 million in operating expenditures for the quarter, down sequentially by $1.8 million as compared to the second quarter of 2015. This decline was primarily due to non-recurring expenses associated with the CEO transition and various legal expenses incurred in the second quarter of 2015. These expenses were partially offset by increased R&D spending and management reconstitution. On a year-to-date basis, corporate OpEx totaled $13.7 million, included here are $5.4 million of non-recurring expenses. In summary, consolidated year-to-date operating expenses totaled $27.7 million, with identified non-recurring operating expenses totaling $5.7 million. To conclude my remarks, I will discuss our liquidity position. Through the third quarter, the company generated net cash flow of $6 million. Cash used by operating activities was $7.7 million. This includes a net loss of $11.9 million, a non-cash expenses of $6.7 million, the largest portion of which were share-based compensation expenses of $3.5 million, and depreciation and amortization expenses of $2.9 million. It is important to note that share-based compensation expenses were elevated by $1.4 million due to the CEO transition. Favorably impacting cash from operating activities was $2.8 million in monetized receivables, a $500,000 reduction in unbilled receivables, and a $450,000 reduction in deferred revenue. Unfavorable impacting cash from operations was a $560,000 increase in inventory, a $3.6 million decrease in accrued expenses and liabilities, and a $1.7 million litigation settlement. Cash generated from investing activities was $13.1 million. Favorably impacting cash from investing activities was $7.8 million in maturities of marketable securities, the release of $1.9 million of restricted cash, and this was partially offset by $550,000 of capital expenditures. Cash generated from financing activities was $600,000, primarily attributable to the issuance of common stock related to option exercise. The company ended the quarter with $21.5 million in unrestricted cash, $3.6 million in current and non-current restricted cash, and $1.3 million in short-term marketable securities all of which represent a combined total of $26.5 million. In the fourth quarter, we received an exclusivity fee of $75 million in conjunction with the VorTeq licensing agreement with Schlumberger. As such our balance sheet has materially strengthened going forward. Taking this payment to account, as of today; our cash position is now over $100 million. At this point, I will turn the call over to our President and CEO, Joel Gay, to provide a commercial and strategic update. Joel, please go ahead.
Joel Gay: Thanks, Chris. Now for a commercial and strategic update on the company, beginning with brief commentary on the third quarter. The dramatic takeaways regarding our financial performance in the quarter are growth and fiscally disciplined spending. In generating $12.1 million in revenue not only was it a record quarter in asset turnover as compared to prior third quarters, but the current quarter provides a clear indication of breakeven to income positive potential. We have been steadfast in our guidance regarding a continually strengthening global desalination market. We have been equally consistent in articulating the impact of austerity measures, a key component to our reloaded strategy implemented in the first quarter of this year. With mega projects of $3.8 million, and OpEx of $7.4 million, we further discern proof of a rebounding desalination market, and achieved our guidance of quarterly OpEx of $7 million to $7.5 million. Having incurred no non-recurring expenses in the third quarter, and expecting a cessation of such for the foreseeable future, we are increasingly bullish on the financial prospects for the fourth quarter of 2015. On the 2014 year-end call, I announced our reloaded strategy, consisting of a rationalized strategic and geographic focus as well as enhanced fiscal discipline, all in pursuit of first, breakeven profitability, and then, consistent profitability and ultimately delivering enhanced shareholder returns. By trusting this strategy and emerging as one of Energy Recovery's competitive advantages is an extreme bias towards execution. While executing against the strategy is a perpetual path and sustainable performance is the product of years of effort, we are in the enviable position of having harvested early fruit from our reload. Beginning first with the landmark licensing agreement of the VorTeq Technology to Schlumberger announced on October 19. Let's recap the financial highlights of this agreement. $125 million in upfront payments paid as wages, $75 million already paid and two milestone payments of $25 million each currently expected in 2016. Beginning in 2017, we expect annual royalty income of $1.5 million per year per VorTeq deployed ramping up to a steady state range up two to four times our base desalination business are roughly $80 million to $200 million in annual royalty income by 2022. Without question, this strategic partnership represents the most significant event in the company's history and has and will continue to have a transformational impact. While the economics of the deal are impressive, considering our humble beginning, the strategic value far outweighs the immediate financial rewards. Prior to the invention of the VorTeq, Energy Recovery's product strategy exclusively contemplated the recycling of or conversion into electricity of hydraulic pressure energy. Our core market of reverse osmosis desalination is the best example here in which we reduced the specific energy consumption of the high pressure plant system by up to 60%. Our emerging hydraulic turbocharger and turbine technologies namely the IsoBoost and IsoGen which target applications within oil and gas and chemical processing are further examples to this end. The VorTeq is a radical departure from the legacy product strategy and expands the potential addressable market by all but unquantifiable amounts. Invented by our Managing Director of Engineering, Dr. Farshad Ghasripoor, the VorTeq leverages our flagship pressure exchanger technology and repurposes such as a pump. In the context of hydraulic fracturing, the VorTeq isolates the pumping infrastructure from fracturing fluid containing a greater profit thereby significantly decreasing the operating and capital expenditures of the end user, in this case Schlumberger. This does change in how we view the pressure exchanger namely as a pump, will fundamentally change and shape our R&D and product strategies going forward. Now, in addition to identifying and developing markets where pressure energy is being wasted, we can now target and develop markets where pumping infrastructure is compromised in hostile processing environment. This is central to our belief that the PX is a ubiquitous technology which is to say we can create markets and deliver value to end users in virtually any industry, sector, market, or vertical, where pumps are being destroyed due to processing of erosive, abrasive, or corrosive fluids. Indeed, we believe that over time, and through our core competencies of fluid dynamics and advanced material science, we can disrupt a significant portion of the global pumping market. This transaction provides both the validation and the capital required to fund an already robust product development pipeline one that is dominated by derivatives of the pressure exchanger more specifically applications of the PX as a pump. Our enthusiasm adds to the transformational impact of this agreement on Energy Recovery is only rivaled by our excitement to be partnered with the world's premier oilfield services company Schlumberger. While we are cognizant that the product has yet to be fully commercialized and have mobilized for target and for site execution in support of the milestone process in 2016, we are ever confident that the VorTeq has the potential to revolutionize the hydraulic fracturing ecosystem. Our first priority is a full deployment in 2016 to breach the final front of commercialization and support our strategic partner to the fullest extent. We will then look forward to providing and supporting a technology that could assuming a reconfiguration of the pumping infrastructure, reduce the cost per barrel to frac a well by $4 to $5. And for the critical path to commercialization, we will conclude field trials with our trusted test partner Liberty Oilfield Services by the year's end. We will then work with Schlumberger throughout 2016 to execute against the milestone process as a prerequisite to full scale deployment within their operations. Despite a tremendous amount of work ahead, we reaffirm our belief that we can successfully conclude the milestone process in 2016, thereby taking receipt of an incremental $50 million in payment and head commercially downrange in 2017 where at we will begin to generate annual royalty income. Now for a specific discussion on our segments, beginning with oil and gas, most specifically gas processing. Earlier in the year, we announced the installation of our IsoGen turbogenerator system in a Saudi Aramco gas processing plant. We are pleased to report that in addition to crystallizing the value proposition in the form of energy produced, we have successfully emerged from the evaluation period. Consistent with our reloaded strategy and rifle shot approach to market and strategic cap development, we continue to invest and growing our relationship with Saudi Aramco with the belief that the near to mid-term return on investments will justify the four year long process. In this, we expect to deploy additional boots on the ground to further this effort. Beyond Saudi Aramco, and the Middle East, we continue to face the same economic headwinds at all midstream market participants resulting in delayed Greenfield projects and deferred spending on turnaround operations which would allow for the potential retrofit and inclusion of our technology. While we had made progress in educating the market on the merits of pressure, Energy Recovery our ability to generate sales orders is naturally tied to the ongoing economic malaise. This has further sharpened our go-to-market strategy and positioning to allow for the opportunity to play offence in very challenging conditions as and when we have quantifiably meaningful updates here such will be communicated accordingly. Moving on to chemical processing, more specifically ammonia, opposite to gas processing and predicated on a three-year low pricing point in the feedstock of natural gas, operators are benefiting from a positive demand shock and are amassing capital surpluses that could be allocated to nascent technologies such as the IsoBoost or IsoGen systems. Further consistent, with our reloaded strategy of rifle shot market development and fiscal discipline, in addition to a lean internal sales force, we executed strategic agreements with licensors of ammonia plant technology and EPC's as a means of veiling the company of a broader distribution channel as well as indirect brand equity. While it is still very early days, having only started market development at the beginning of this year, we are confident that our value proposition resonates with end users and that we can achieve early adoption. As with gas processing, as and when quantifiably meaningfully results are evident, they will be communicated accordingly. Finally, on to our core segment water, specifically desalination. We began the year quietly optimistic about the health of the market. We upgraded to simply being optimistic upon reporting the second quarter's results. Now, having line upside visibility to the fourth quarter's revenue potential, the entirety of fiscal year 2015, and a robust pipeline in 2016, we further upgrade our confidence level to bullish. While certain markets continue to struggle, most notably the United States and California, due to an entrenched environmental lobby and deadlocked political intelligentsia, international and historically crucial markets are funding and lending capital projects in a manner consistent with a bull cycle. The leading indicators to market appreciation are a shift in product mix toward the pressure exchanger within the sales pipeline, as well as a channel mix toward mega projects or large scale capital projects. Having been awarded and announced $26 million in large scale capital projects in 2015, with the expectation that $18 million of that $26 million have or will shift this year, we will enter 2016 with a near record amount of the following year's revenue underwritten in projects under contracts. As encouraging as the rebound has been, we are perennially cognizant of the cyclicality of the global desalination market. In short, we have and will continue to modify our commercial strategy to ensure that we can play offence at all points of the cycle. To this end, last call, I announced a few strategic initiatives centering on varying procurement vehicles, namely an operating lease with various performance guarantees, and the launch of our first new desalination product in the last four years, the PX Prime. Having launched the Prime earlier in the year and did passed our developers to sensitize the initiatives with the market, I can report that the feedback isn't positive and we expect to secure operating lease contracts in 2016 targeting first the retrofit segment of the market. On the last call, I described Energy Recovery as a portfolio consisting of a cash cow and funding mechanism, the desalination business, a concept that some have erroneously challenged, and a series of pre-revenue call option such as gas processing and ammonia. As a Portfolio Manager of sourced debt, our strategy is to fund the highest beta options and monetize them over time. The landmark agreement with Schlumberger is validation of this resource allocation and investment strategy and to be sure such would have not been possible without the consistent cash generation of the desalination business. Also on the last call, I provided a conservative $4 per share to $5 per share growing perpetuity valuation of the desalination business. Considering this, the economic magnitude of the Schlumberger agreement, the theoretical value of our current portfolio of call options, and indeed future opportunities, within the PX as a pump market, we are of the opinion that the share price, while substantially up from an artificially low level remains significantly under 1,000. In closing, we stand before brightest horizon ever facing the company and with a reconstituted Board and management team are united with a singular goal of delivering enhanced return to our shareholders. With that, I will now line up to questions.
Operator: [Operator Instructions]. Our first question comes from Patrick Jobin with Credit Suisse. Please go ahead.
Patrick Jobin: Hi, thanks for taking the question, great work this quarter and thanks for all the disclosure of thinking about the business by segment. Three questions from me if I may.
Joel Gay: Sure.
Patrick Jobin: First, lots of opportunities to invest, more to tackle the other markets beyond fracing and obviously diesel. How do you plan on prioritizing markets and how do you think about OpEx kind of ramping on the R&D line next year?
Joel Gay: Sure. So from a prioritization standpoint, Patrick, it starts with our product development roadmap which is something we began creating this year and we'll complete said profits by the end of this year. Our focus is going to be on derivates of the pressure exchanger that product has always been at the heart of the company. It is the most novel; it is the most prohibitive and therefore proprietary. And the pre-commercialization of the VorTeq and certainly the agreement we signed with Schlumberger is in fact a validation that the aperture of that technology has only begun to be defined. And so from prioritization stand point, you can think if it follows. P1 will be any derivative of the pressure exchanger as a pump. P2 will be a derivative of the pressure exchanger as an energy recovery device. So we will have line of sight visibility as to which initiatives will fund, will run them through our stage gate process, and as and when we achieve proof of concept, we will communicate such accordingly. Now specific to an actual ramp up in OpEx, specifically at the R&D line, look, we're happy about this agreement, but we're not going start spending money like a sale around three day surely. We'll remain in a period of austerity. What you can expect is a steady increase in actual engineering headcount. We're currently targeting anywhere from 5 to 7 that will bring on next year. So from a percentage standpoint, I would not expect R&D to increase anymore than 20% to 30%.
Patrick Jobin: Got it. And two questions on the VorTeq and Schlumberger announcement.
Joel Gay: Sure.
Patrick Jobin: First on the adoption curve, you've talked about game changing potentially as in VorTeq with different pumping technology principally the centrifugal pumps. Is the value proposition compelling enough and do you expect adoption in traditional plunger pumps? Or does this require a pumping fleet technology change concurrent with initial adoption? That's first question and one follow.
Joel Gay: Sure. So, yes, the value proposition stands on its own with respect to integrating with VorTeq into the existing frac spread that is the priority for both parties, which is say Energy Recovery at Schlumberger. The opportunity to revolutionize the frac ecosystem as you put it to migrate to this new pumping technology, air-go the centrifugal pumps. Well we're keenly interested in doing that, but you've got to crawl before you walk and walk before you run. So all we're focused on right now as a team and certainly as an engineering cadre is getting the VorTeq within Schlumberger, the existing fleet and yes the economics are more than compelling enough to induce them into adopting at the prescribed rate in our contract.
Patrick Jobin: Got it. So I think you just alluded to it. But what got you comfortable to sign up with one company besides the obvious magnitude on front payments. Is there risk the company sits on the exclusive license or are there minimum adoption requirements or so?
Joel Gay: Yes, so I'll answer that severely, Patrick. Number one, the brand of Schlumberger speaks for itself. And so I think most people can understand that if you are going to exclusively partner with anyone in OFS, it would be Schlumberger. Number two, as a company we're very cognizant of what we're good at and what we're not good at. And we're good at is manipulating highly pressurized fluids to extract value and arbitraging material science if you will. We're not a logistics company. We're not an oilfield services company. So that kind of considers operational risk anything we do we have to be mindful of operational risk and partnering with Schlumberger mitigates that risk. And then, of course from our financial risk standpoint, while we had a very healthy balance sheet of call it $30 million prior to executing the agreement, it would have a placed a degree of stress or strain on our balance sheet to take this product to market ourselves. Now with respect to the possible shelving of our technology that is not possible in the context of the agreement. In fact there are minimum adoption curves. There are actually two, one to deploy the VorTeq within the existing configuration, and then a second, to deploy the VorTeq within the new pumping configuration. The contract is on a take or pay basis and if for whatever reason; the minimum adoption rate is not met or satisfied the exclusivity is foregone. The agreement will remain in place but the exclusivity would be foregone. Therefore, we would not incur the opportunity cost of singularly licensing that technology to Schlumberger for the next 15 years.
Operator: We will go next to Craig Moss with Morgan Stanley. Please go ahead.
Craig Moss: Hey, Joe. How are you?
Joel Gay: Yes. Craig, how are you doing?
Craig Moss: Good. Congratulations on some really good announcements this quarter.
Joel Gay: Thanks.
Craig Moss: I'm just curious do you have plans whatsoever of redeploying some of that cash to shareholders either in buyback or dividends going forward?
Joel Gay: Well, I would never make a definitive statement which is to say yes we have plans in doing that or no we don't have plans of doing that. Obviously myself and the Board we actively manage our capital structure and we will always execute in the best interest of the shareholders. Now having said that all of that, Craig, I think it comes down to what is the identity of the company as you're talking about typical stock demographics. We're not a value company. Okay. We're one our General Electric growing at 5 to 7 points a year and paying out 20% debt ratios, that's not who we're. We're a growth company and I alluded to the product development pipeline or roadmap that is frankly replete with very exciting opportunities. And so our first priority will be to fund the next disruptive and explosive idea. The perfect case study is the VorTeq and let me provide some color there. We spent about $12 million developing that technology. Now had we decided to repurchase shares with that $12 million, right? Understanding that's a zero some gain, who knows what the impact of share price would have been, but the appreciation that we witnessed over the last three to -- three-and-half weeks, I think speaks for itself. So that's consistent with being a growth company and always being mindful of how we can deliver the highest risk adjusted returns to our shareholders.
Craig Moss: I have a couple of questions concerning the application of the technology into the gas and pipeline and ammonia industries. Is it right to say that they are about terms of the market potential about a third the size of fracing in terms of the opportunity?
Joel Gay: Well, what I would tell you about -- let's just treat them separately. Okay. If you've got three markets that we've been attempting to develop, gas processing, ammonia, and pipelines. So gas processing is just based on the downward pricing pressure on crude and of course the associated pressure on Nat Gas is such that no one is spending money, Craig. It is a CapEx freeze universally in virtually every market except for the Middle East, specifically with Saudi Aramco. And so when you think the total addressable market for gas processing in the current economic conditions, it's much smaller than it was a year-and-a-half, two years ago. Okay. Pipeline is pretty much the same saying although pipelines always need to be maintained. So there is going to be a consistent amount of spend there. And then ammonia you could argue that the ammonia addressable market has in fact grown again based on the fact that the feedstock to produce ammonia and ultimately fertilizer is of course natural gas. So there has been some movement, obviously based on systematic risk in how we cite those markets. But to compare them to fracing our fracking market now is basically Schlumberger, okay and we're excited about that.
Craig Moss: All right. So lastly on that Schlumberger thing, I don't know if you have had a chance to comment on it. But my understanding is Schlumberger is number two in fracking, Halliburton is number one. What made you decide on Schlumberger and was Halliburton also interested in the VorTeq?
Joel Gay: Yes, so great question and Chris and I have been feeling that as we've been out on our non-deal roadshow. Number one Schlumberger is a technology company, okay. They are first oilfield services but at their core they are a technology company and they have a phenomenal track record of bringing nascent technologies into the oil patch in record times. And of course we like that because we're a technology company and we move quickly. That's one of our competitive advantages alacrity. Number two they have the broadest international footprint. And so as you look at the dispersion of hydrocarbons outside of the United States, you may be surprised to know that only about 14%, 15% of the global shell reserve, if you will, is in North America specifically the United States. The vast majority of the hydrocarbons are outside of the United States. So this is 15-year agreement and of course were long on E&P, and so we wanted to position ourselves with a service provider that would grow as the international market develops that's number two. As it relates to other strategic partners, I would submit that we could have partnered with anyone we wanted to. And as I said, I mean I talked about it on the year-end call, I talked about it on the Q2 call, I believe the exact quote was we are engaged with anywhere from 85% to 90% of the industry. So understanding that and if you assume that our value proposition resonated as loudly with them you can naturally infuse that we could have chosen whomever we wanted and we chose Schlumberger, we're quite happy about that.
Craig Moss: Okay. It all sounds really terrific, Joel, and I can't wait to see how this all plays out over the next couple of years in terms of the royalties because it sounds like the numbers that you used on the last call, of two to four times the diesel revenues based on what you just said about the opportunity internationally for fracing and assuming that oil eventually does turnaround and move higher, it sounds like those numbers are pretty conservative.
Joel Gay: Yeah, we're from the University of Chicago, Craig. We only know how to be conservative.
Operator: Thank you. [Operator Instructions]. We will go to Robert Smith with Center for Performance Investing. Please go ahead.
Robert Smith: Hi good afternoon and congratulations, take a bow. It's really a great achievement. You seem to have added a little more color to the information that you provided previously by stating the year 2022 as sort of the ramp date for the $80 million to $200 million if I'm correct. Could you just give us some idea as to the ramp rate going from 2017 to 2022? Thanks so much.
Joel Gay: Chris, why don't you take that?
Chris Gannon: Yes, so essentially we have within the contract, where it's called a minimum adoption curve and that's over the course of five years they have to reach a 100% penetration of our technology into their fracing ecosystem. We cannot tell you specifically how many active fleets they currently have. We are not going to do that but if you look back historically that is to say a year or two back they had roughly 120 fleets. So you can impute from that $80 million to $200 million roughly a 50 to 130 fleets count are active fleet count over that time and that’s how we're coming up with that number.
Robert Smith: Okay, thanks much. Good luck.
Chris Gannon: Other thing is to not consider the adoption of a novel pump, if Schlumberger adopts the novel pump into their system, our royalty rate increases substantially and we see a much larger revenue.
Robert Smith: So you just lost me on that, much larger than what?
Joel Gay: So we said that if that $1.5 million per year for VorTeq income, royalty income that if the VorTeq is deployed within their current pump configuration. If they move to this new pumping model which we deemed or termed the novel pumping model, then clearly their savings would increase, we would have an opportunity to share in those increased savings. So our annual royalty payment would be well in excess of $1.5 million. We're not going to peg that number right now because such would be unduly speculative. What we're -- all we're trying to say is that yes there is upside in this agreement, if in fact we can get this product to the point of full commercialization.
Robert Smith: So does the $80 million to $200 million range reflect that or is this something in addition?
Joel Gay: It would be incremental to that.
Operator: Thank you. [Operator Instructions]. And we do have a follow-up from Robert Smith. Please go ahead.
Robert Smith: I mean so what do you have to do to get to that additional development stage or with the Schlumberger's acceptance?
Joel Gay: Yes, Robert, so there are a lot of milestones. To be frank the only two milestones that we're focused on right now are the ones that we expect to successfully execute against 2016 which will trigger the $225 million payment. We can be a lot more forthcoming as it relates to future milestones after we've done that. So we're just going to focus on those two milestones and assuming we are successful there, we can have a much more robust conversation.
Robert Smith: Is it a question of technology development or are you there?
Joel Gay: It is partially technology development not on our side, this would be technology development around the pumps and then of course just the science of integration.
Operator: Thank you. And we do have another follow-up from Patrick Jobin with Credit Suisse. Please go ahead.
Patrick Jobin: Hi thanks for taking the follow-up and all the incremental information here, a lot more key to this agreement and contract. So when I think about the next two milestones for 2016, I presume since Liberty is going to finish up by the end of this year, it's that prototype that you need for the two milestones are there any other capital uses in 2016 that you're planning for the work on these two milestones?
Joel Gay: Yes, as soon as the prototype is done, rather since Liberty has completed the final frac, we will be retrofitting the missile with our Gentoo Cartridge. So I think there is another update. We're very close to Gentoo, which of course we're quite excited about. Once it’s outfitted or retrofitted with the Gentoo Cartridge it will be delivered to Schlumberger and then both teams will participate, not participate rather coordinate in executing against the milestone process. As for CapEx, I mean yes we’re going to have to spend a little bit, Patrick, to retrofit this missile whether or not those costs are incurred in 2015 or 2016 timing will tell. And I guess I should be more precise, it would not be CapEx it would still be OpEx. There are some GAAP hurdles that still need to be met in order to allow us to capitalize the expenses that you would see that in the form of R&D.
Operator: Thank you. It appears we have no further questions at this time. I will turn it back to Joel Gay for any closing remarks.
Joel Gay: Just thank you all. And we look forward to speaking with you at the next juncture. Bye.